Operator: Good day, ladies and gentlemen, and welcome to the PTC Therapeutics First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a remainder, this conference call may be recorded. And I introduce your host for today’s conference Jane Baj, please go ahead.
Jane Baj: Thank you. Welcome to our conference call. Today, we will discuss PTC’s first quarter 2016 financial results and provide a corporate update. Before we start, let me remind you that today’s call will include forward-looking statements based on current expectations. These include statements about our future expectations regarding clinical developments, regulatory and commercialization timelines and potential outcomes including statements related to our ability to resolve matters set forth in the Refuse to File letter we received from the FDA in connection with our New Drug Application for the Translarna for the treatment of Duchenne muscular dystrophy and our ability to obtain and maintain marketing authorizations for Translarna, including in Europe, the potential success of our products and product candidates, addressable patient populations and financial projections. Actual results may differ materially from those indicated by these statements as a result of a variety of risks and uncertainties including the timing and outcome of interactions PTC has with the FDA with respect to Translarna, including whether we are required to perform additional clinical and non-clinical studies at significant costs which if successful may enable FDA review of an NDA; whether the EMA determines that the risk benefit balance of Translarna supports continuation of our marketing authorization in the EEA, the outcome of pricing and reimbursement negotiations in those countries in which we are authorized to sell Translarna; and the price at which we are able to sell Translarna; and those risks discussed under heading Special Note Regarding Forward-Looking Statements and Risk Factors in our 2015 Form 10-K and our most recent Form 10-Q which will be available from the SEC or our website later toady. Such statements represent our judgment as of today and PTC undertakes no obligation to publicly update any forward-looking statements except as required by law. Information regarding our use of GAAP and non-GAAP financial measures and a reconciliation of GAAP to non-GAAP is available in today’s financial results press release. With that let me pass the call over to Stuart.
Stuart Peltz: Thank you. Good afternoon. Thank you for joining us on the call. We’re happy to report on the progress we’ve made in the first quarter across our regulatory commercial and clinical front. Important first quarter updates include recent discussions with the regulatory authorities in both the United States and Europe, progress on our Translarna commercialization efforts, development in our clinical pipeline and financial results for the quarter. Let me start with the work we’re doing to make Translarna available to all patients globally who may benefit, including patients in the United States. We’ve begun a dialogue with the FDA to discuss and clarify the matters described in the recent Refuse to File letter. We anticipate that this process may require multiple interactions before we come to a conclusion. Given the sensitivity around these discussions as well as their iterative nature, we will refrain from any public comment, including responding to questions today as they might adversely affect the overall integrity of the process. We intend to provide an update once we have clarified our regulatory strategy in the United States. We believe that this approach is in the best interest of our patients and their families, our investor and the company. At the start of the year, we also submitted the ACT DMD Phase 3 results to the EMA in support of the marketing authorization for Translarna for the treatment of nonsense mutation DMD. And separately submitted the request for annual renewal of our conditional marketing authorization, which involves an assessment of Translarna benefit risk profile. As I’m sure you are aware, the process with the CHMP is also in iterative one. As part of this process, the CHMP has sent us questions related to these submissions. These are primarily focused on an assessment of efficacy in light of the ACT DMD data. They also include clarification questions related to observed changes in blood pressure and lipids in Translarna treated patients considering the boys with DMD already has compromised cardiac function. I would note that our product label already requires monitoring of blood pressure and lips. CHMP plans to hold the Scientific Advisory Group or SAG meeting to review whether the results of the ACT DMD study supports the benefit risk profile of Translarna. The SAG allows our team, as well as outside experts in the DMD field to provide their view on the clinical results from our Translarna study. We believe that the totality of our data across two large the placebo-controlled trials demonstrate the Translarna preserves muscle function in DMD boys. And in our view support the positive benefit-risk assessment. We anticipate that CHMP will issue its opinion on these submissions in mid-2016. Many people have asked us about the potential outcomes of the CHMP process for DMD. We believe that there are three potential scenarios. The first, do we receive full approvals for the Translarna which is then subject to the standard review after five years which is the current annual review. The second is that we receive an extension of our current conditional approval. The agency can impose additional conditions such as providing longer term data collected in the post-marketing setting. And third, EMA can pull the marketing authorization for Translarna. We are obviously devoting significant regulatory effort to achieving either of the first two positive scenarios as they enable continued access to Translarna outside of the U.S. We are actively pursuing regulatory approvals around the world. In Canada, we plan to submit a new drug submission to Health Canada incorporating results of the company’s Phase 3 ACT DMD study later this year with the decision expected in 2017. We are also pursuing Japan, one of the largest pharmaceutical markets in the world and a market favorable to orphan drug. In consultation with the Japanese regulators we have recently initiated a Phase 1 study to assess tolerability in pharmacokinetics for Translarna in Japanese healthy volunteers. This study is the first step towards bringing Translarna to DMD patients in Japan. Now switching gears to our commercialization efforts for Translarna. Our global launch of Translarna is tracking well and the feedback we received from physicians and patients about Translarna remains positive. We have seen good growth across Europe, Latin America and the Middle East and we have generated significant, sequential quarter-over-quarter revenue growth. In particular, this quarter we generated almost $90 million in sales revenue which is nearly a 50% increase over the fourth quarter of last year. Revenue from reimbursed to the access programs in Latin America is growing and we received a significant order from Brazil in the first quarter. There is significant unmet medical need in Latin America with a large number of nonsense mutation DMD patients and we’re working closely with the regional DMD communities to bring Translarna to these patients. We believe that there may be as many as 7,000 nonsense mutation DMD patients global in market where reimburse therapy as possible. Our experience to-date has shown that approximately 40% of the total nonsense mutation DMD patient population, are on the label. We have found a country-specific prevalence and estimates vary depending on male birth rate, incidents above the DMD, and nonsense mutation and local standards of care. While we continue to refine our patient model we are not in a position to provide regional or country specific break up. In Europe market access discussions to continue on a country-by-country basis. We know that every day counts for families facing Duchenne muscular dystrophy. We continue to work closely with all stakeholders to bring Translarna to patients around the world as quickly as possible. On April 15, NICE issued draft guidance recommending Translarna subject to a final managed access agreement with NHS England. NICE recently extended the timeframe for finalization of their guidance. I wanted to thank the UK DMD community, NICE and NHS England for all the ongoing support they are showing us as we work together to conclude this process. I would also like to provide an update for Germany. As we discussed in our last call, we experienced a real disconnect between the German Health Technology Group, GBA which gave Translarna a favorable rating of three meaning Translarna demonstrated, a quantifiable benefit and the GKV being the insurance consortium, which was not really fund Translarna at a sustainable price. The GKV has recently been communicating they are much less willing to fund orphan drugs at prices sustainable by the industry. As a result of our negotiations with GKV, we efficiently deal with the Translarna from the German pharmacy ordering system as of April 1. I am pleased to report that the first commercial order into Germany have already been successfully fulfilled via the pathway that allows patients with high unmet medical need to access treatment when no other options are available. We appreciate all the efforts of the German physicians and payors to expedite this process so patients have uninterrupted access to Translarna. We continue to work with local authorities across Europe, including in countries where we already have reimbursed early access program to finalize reimbursement and pricing agreements. Across the industry, there’s significant pressure on pricing for pharmaceuticals and orphan drug pricing is also drawing attention. As we have communicated to payors, Translarna represents an innovative new medicine for fatal genetic disorders when no other treatments addressing the underlying cost. PTC has invested over 18 years of research and development for a therapy that targets a very small patient population. We are working hard to negotiate access for Translarna for DMD patients at a price that reflects the value we are delivering the patients and ensure the long-term success of our business. To date, we have successfully concluded pricing and reimbursement discussions in six European countries at prices we considered to be sustainable. In Latin America, there has been significant interest in Translarna from patients and physicians. Currently, we have reimbursed early access programs in Columbia, Argentina, Peru, and Brazil, which we believe will continue to grow in 2016. By working with investigators and advocacy group to facilitate genotyping for patients, we have had success identifying nonsense mutation DMD patients in the region. Let me now turn to our program for Translarna in nonsense mutation cystic fibrosis, which continues to progress. As discussed previously, we completed enrollment of our Phase 3 ACT CF trial in November 2015 with approximately 280 patients. The trial remains on track with top line data expected in 2017. We submitted a type II variation to our marketing authorization in Europe to request approval for Translarna for nonsense mutation cystic fibrosis, during the third quarter of 2015. Translarna is the only treatment in development to address the underlying cause of nonsense mutation cystic fibrosis, which is considered the most difficult to treat population. The submission was based on post-hoc analysis of the results from our previously Phase 3 study. Based on recent interactions with regulators, there is substantial risk that the results from our confirmatory ACT CF trial will be required for approval. We filed for early EMA approval because believe that Translarna has demonstrated favorable benefit/risk and consistent with our mission we want to bring Translarna to patients and their families as rapidly as possible. Furthermore, as with DMD, it affords as an opportunity to educate and discuss with CHMP the benefits of Translarna for patients afflicted by nonsense mutation cystic fibrosis. We anticipate that the CHMP will issue its opinion in mid-2016. I would now like to focus no another program in our clinical pipeline. As we have discussed before we have developed a platform technology to identify molecules that modulate splicing. This technology has been used to discover potential new therapies for spinal muscular atrophy or SMA. SMA is a genetic neuromuscular disease caused by a missing or defective SMN1 gene which results in reduced levels of SMN protein. The SMN protein is critical to the health in survival of the nerve cells in the spinal cord. The disease generally manifests early in life and is the leading genetic cause of death among infants and toddlers. We have a robust program in collaboration with Roche and the SMA Foundation around oral small molecule SMN2 splicing modifiers as a way to address the disease. And oral therapy which has exposure to both muscle and nerve tissue has the potential to provide considerable advantage. As we discussed on our last call, concurred with the development of our lead compound RG7800, a robust research program regarding SMN through splicing modifiers continue to advance. And RG7916 was also identified as the development candidate. We’ve recently completed a Phase 1 study in healthy volunteers with this compound, preliminary results in the case that RG7916 increase the production of full length SMN2 mRNA and it was well tolerated. Because healthy individuals have both the SMN1 and SMN2 gene, we are in the unique position that changes in splicing can be measured in the blood of healthy volunteer. This allows us to rapidly monitor both the exposure and the activity of RG7916 in an early study. Results of this Phase 1 study support the continued development of RG7916. Together with our collaborators, we are planning to begin the clinical study in SMA patients later this year. Once we have data in SMA patients for RG7916, we will be able to compare the results for both compounds to determine the best one to move forward in subsequent clinical development. To wrap up, while we’re working to address the RTF letter, we have delivered strong commercial results and we’re actively preparing for upcoming regulatory interactions, and we continue to advance our clinical pipeline. With that, let me turn it over to Shane to talk about our financial results for the first quarter. Shane?
Shane Kovacs: Thanks, Stuart. We’re happy to report the strong start to the first quarter of 2016. With Translarna net product sales of $18.9 million, which represents a 49% quarter-over-quarter increase versus the $12.7 million we’ve reported in the fourth quarter of 2015. Contributing to this growth, as Stu mentioned, was a large order from Brazil. Brazil represents a significant market opportunity for us with a population nearly two-thirds the size of the United States. Our team has made significant progress working with local key opinion leaders to help identify DMD boys with the nonsense mutation. In Brazil, orders for certain pharmaceutical are fulfill in larger bulk orders on a semiannual basis. As a result, the timing of these orders is expected to have an impact on our quarterly reported revenues and may result in our second quarter net sales being lower than those for the first quarter that we’re reporting today. First quarter revenues were negatively impacted by a lower net sales price in Germany as a result of the mandatory discount and closed by the GKV prior to delisting. This lower price in Germany is expected to tail into our second quarter revenues during which period patient were transitioned to imported therapy. Overall, we continue to have confidence in our ability to achieve our prior revenue guidance of $65 million to $85 million in Translarna net product sales for 2016. This guidance assumes current exchange rate and the continued rollout on a country-by-country basis for Translarna outside of the U.S. As we progress throughout this year, we anticipate updating this guidance when and if appropriate. As a result of the Refuse to File letter that we received from the U.S. FDA, we announced a workforce reduction as part of the plan to optically manage expenses. This resulted in an approximate 18% reduction in the size of our workforce, primarily affecting our employees in the U.S. This will result in a one-time charge of approximately $2.6 million of which $1.9 million was recognized in the first quarter. We remain focused on executing our clinical development plan and continuing to invest in our commercial growth outside of the U.S. where we are making progress expanding access Translarna for nonsense mutation DMD patients. Non-GAAP R&D expenses in the first quarter were $27.1 million, an increase of approximately $3.8 million compared to the same period in 2015. Non-GAAP R&D expenses decreased sequentially versus the fourth quarter of 2015 by $4.3 million from $31.4 million. Non-GAAP SG&A expenses were $21.3 million for the first quarter of 2016 compared to $12.5 million for the same period in 2015. Non-GAAP SG&A expense decreased sequentially versus the fourth quarter of 2015 by $0.4 million from $21.7 million. We reported a net loss of approximately $41.2 million for the first quarter of 2016 compared to approximately $37.9 million for the same period of 2015. Net loss decreased sequentially versus the fourth quarter of 2015 by $9.7 million from $50.9 million. Our net cash burn for the first quarter was approximately $40 million, which is typically larger due to the timing of pay out of annual cash bonuses to employees, which otherwise accrued throughout the year. We ended the quarter with $299 million in cash and marketable securities on our balance sheet, which puts us in a healthy capital position. In addition to reaffirming our revenue guidance for the year, today we are also providing guidance on operating expenses. We currently anticipate non-GAAP operating expenses to be between $185 million and $195 million excluding approximately $40 million in non-cash stock-based compensation expense for total operating expenses of approximately $225 million to $235 million for 2016. As a result, PTC expects to finish 2016 with approximately $200 million in cash and cash equivalents. Joining for the Q&A is my colleague Mark Rothera, our Chief Commercial Officer. Operator, can you now open the call for question?
Operator: Thank you. [Operator Instructions] Our first question comes from Christopher Marai of Oppenheimer. Your line is open.
Christopher Marai: Good afternoon. Thanks for taking the question and congrats on the quarter. I was just wondering if you could further elaborate on sales in Germany. I was wondering are those sales via the importation pathway in newly identified patients or are those old patients who had previously received drug and now have been converted. And then could you perhaps comment, I guess this is for Mark, on patient finding efforts in Germany now that you’re using that importation pathway. And I have a follow-up, thanks.
Mark Rothera: So, Hi, Chris, this is Mark, thanks for the question. So I think the first priority for patients in Germany is that those that are an existing treatment get successfully transferred onto the foreign importation process. So we’re very pleased to see that that is already happening and it’s very fast. If you think about the fact that we delisted on the 1 of April already numerous patients have already shifted on to foreign importations. So that’s the first priority and this will happen – we expect in the coming month or so. Beyond that, as new patients get identified, they will then be able to also access Translarna through this process.
Shane Kovacs: But just to be clear, Chris, it’s Shane speaking. For the first quarter sales none of those sales in the first quarter reporting today reflect the real importation into Germany.
Mark Rothera: Right. They were all discounted price for delisting.
Christopher Marai: Got it. And then, how far along are you with respect to converting those Q1 delisted patients into importation pathway patients. Is there a percentage you could give roughly?
Mark Rothera: Thank you very much for asking, but I think you’ll appreciate that we’ve really don’t go down to patient type of level detail. But you may recall that we were suggesting it could take a couple of months to undertake this process, and we’re really pleased that in less than a month we’ve already seen numerous patients already switched on to this. And I guess more importantly you’ve seen that today we’ve reiterated our revenue guidance of $65 million to $85 million this year.
Christopher Marai: Got it. And then just with respect to the ongoing NICE discussions, I mean it sounds like they were delayed slightly. Could you just confirm what we've learned which is that the additional time required with NICE is not about our price to pay, but it's rather about other aspects such as like five-year follow-up and other high requirements that they had a few? Thanks.
Shane Kovacs: So you’ll recall that we got a positive recommendation for funding from NICE back in April. And you're right, they’ve recently just extended the periods for public consultation followed by about eight weeks before – by which they’ve agreed to publish to that point the final guidance. So within this period that NHS England and PTC are just working to finalize the elements of the managed access agreement. And this is a high priority for both parties. We've had multiple productive discussions and we have a draft agreement and we're just looking forward to finalizing that as soon as possible, there are many different elements in a managed access agreement.
Christopher Marai: Okay. And just to be clear, it's not regarding a price to pay, correct?
Shane Kovacs: This is about finalizing the draft agreement. And I said there are a multiple different points that were opened that needed just be closed. It’s a general point that this whole agreement has many different chapters, it just needs to be finalized, I's dotted and the T's crossed.
Christopher Marai: Understood. Thanks so much.
Operator: Thank you. Our next question comes from Geoff Meacham of Barclays. Your line is open.
Evan Seigerman: Hey, guys. This is Evan Seigerman on for Geoff. Thanks for taking my questions. So the first one is have is about the current Phase 3 in CF. I know you had mentioned something about this before, but how much of a role does this have and EMA’s decision regarding conditional approval. Now from the commentary it appears that you will most likely need this, but could you give us some understanding of why EMA would potentially, conditionally approve without this data.
Shane Kovacs: So, let me just remind you that we – obviously we – with CF is actually a variation on the conditional approval, so it’s actually a full approval it’s variations. So if this mission is really based on the full approval from our previous Phase 3 trial. So it’s really just based on recent interactions with the regulator, the recent interactions with the regulator, that really basically that we submitted the basis of that, and that we're testing whether it's sufficient enough to demonstrate benefit for patients. So I think what we're doing is that they're linked and so in a sense that CF variation really is depended on the market authorization for DMD. So that's really the connection between the two of them.
Evan Seigerman: Okay. And switching to DMD, could you remind us what the criteria would be for EMA to pull the drug? And are there any precedents for where to pull a drug from conditional approval where there is no safety signal.
Shane Kovacs: Yes. So let me just remind you as I said in the prepared remarks there’s three – there are three ways in which we can get this drug which is full approval, condition approval or pull the drug. And obviously we're working hard to ensure that we get one of the two there. There are small number of cases of conditional approval and each one is different. So there's not a lot of data points to draw any conclusions from them. There's not very many of that happen. And our focus is really with the CHMP to make sure we discuss with them the efficacy of Translarna and belief that we have that the results support the benefit risk for the patients.
Evan Seigerman: Okay. And then one more follow-up regarding your negotiation with UK NICE and NHS, is this delay at all related to the decision from EMA regarding conditional approval – becoming full approval or being pulled from the market? Are they waiting on that to make a final decision?
Shane Kovacs: No, I think they are two independent agencies working on, have different roles and functions. So they're independent as a consequence of that.
Evan Seigerman: Okay. So, there's no potential – there's no connection whatsoever between the two of them in your view?
Shane Kovacs: No, one is about pricing and reimbursement and one is about approval.
Evan Seigerman: Okay.
Mark Rothera: And maybe just build on that.
Evan Seigerman: Yes.
Mark Rothera: Bear in mind that we’re now commercialized in many, many countries where, again, these are being completely dissociated processes. So, we’ve already shown you that we have the drug, reimbursed and available in numerous countries.
Evan Seigerman: Okay, great. Thank you so much for taking my questions.
Stuart Peltz: Thank you.
Operator: Thank you. Our next question comes from Anupam Rama of JPMorgan. Your line is open.
Unidentified Analyst: Hi, this is Yuko [ph] on the call for Anupam Rama this evening. Thanks for taking my questions. Could you provide some progress on commercial uptake of Translarna in globally such as number of patients and countries that now have access to Translarna?
Mark Rothera: So just to remind you we have established a commercial – global commercial footprint that covers 46 countries. And we reported previously 23 – 24 countries where we’re already reimbursed and patients are getting access. So the drivers of growth remain that not only do we continue to expand the number of countries where access is possible, but in countries where reimbursements already available. We continue to have patients have access and expand the number of patients. And all of that really adds up to say that where we reiterating our guidance of $65 million to $85 million for this year.
Unidentified Analyst: Okay, great, thank you.
Operator: Thank you our next question comes from Heather Behanna of Wedbush Securities. Your line is open.
Heather Behanna: Okay, thanks and congrats on the quarter. Just a couple of questions. One is just, when will we start seeing cost of goods for Translarna?
Shane Kovacs: Hi, Heather, it’s Shane.
Heather Behanna: Hey.
Shane Kovacs: So, once we’ve had discussions with our auditors about capitalizing inventory, and it’s – I think once we confirm approval with the EMA and ultimately our path forward in the U.S. that we would begin – that we would have certainty with respect to our operating expenses going to produce Translarna products for commercial sale. At that point, we would begin capitalizing those expenses as inventory and then expensing in accordance with sales as cost of goods. But up until now we had been expensing those production costs in the operating expenses.
Heather Behanna: Got it. That’s helpful. And then I’m just switching gears for a second. On the SMA program, if you could just give us any color on how you’ve been monitoring patients for the potential for any ocular toxicities for the new compound and sort of how that will play into your decision process once you get data in SMA patients.
Stuart Peltz: Yes, so let me just remind you on the – we’ve showed in RG7916 is moving forward in healthy volatility – it has move forward in healthy volunteers. That was picked I should remind as we were going on in having a robust discovery program where we still had RG78100. And that was that moves forward because it was more of potent efficacious. And it show that to be the case in a Phase 1 trial, and that had a – we believe that RG7916 has the potential to have a wider safety window as compared to RG7800. And so, once – as I said in the prepared remarks, we’re going to move forward in SMA patients and once we have the SMN protein data in SMN mRNA level patient of RG7916 will be able to compare the activity in both compounds and prepare the best path forward. Along with that we’ll be looking at obviously we’ll be watching for monitoring for any eye issues. And that will then also be having undertaken longer term taxes in these study to explore the safety of tolerability of the compound at higher exposure in that longer duration of treatment that – then it’s being investigated in the both in the healthy volunteers and subsequent SMA patients. And so once that all through, we look forward to sharing those results with you once they’re final.
Heather Behanna: Great, so just a quick follow-up. Were you able in the healthy volunteers to see that what you saw preclinically as far as efficacy is being recapitulated that the results are – that the pricing levels were higher than what you saw for RG7800?
Stuart Peltz: So I think what we're able to disclose really right now is that we completed the Phase 1 – the single dose Phase 1 study, and we're able to show that the SMN – growth SMN mRNA, we are showing very NICE splicing. As we said it had – it was efficacious, so we're excited about that. And obviously we're moving that forward and then we'll be able to compare 7916 to 7800 once that data is complete.
Heather Behanna: Okay, thanks.
Operator: Thank you. Our next question comes from Alethia Young of Credit Suisse. Your line is open.
Ellie Merle: Hey. Hi, this is Ellie Merle [ph] on for Alethia, thanks for taking the question. My first question is just, if you can just characterize a little bit how large the order was from Brazil? And then what the gross rate of sales would have been without their partner from the Brazil?
Shane Kovacs: Hey, thanks for the question, Eli. As you may expect we don't break out any specific country revenue numbers. However, these large orders from Brazil are expected to have an impact on our quarterly reported revenues. And as a result I think as we disclosed during the quarter it may result in our second quarter net sales being lower than those that we're reporting today.
Ellie Merle: Okay, that's helpful. And then just in terms of your guidance, I was just curious kind of what pricing assumption you have baked in there. If you could just comment a little bit on that.
Shane Kovacs: Yes, I think as we talked about in prior calls now, we're in our second year of launch and as we were mature with this commercial expansion we have moved away – we have moved towards getting revenue guidance which integrates many factors including price, exchange rate, patient numbers, compliance, and average weights of patients. So really there's a number of factors that go into that overall guidance that we've given.
Ellie Merle: Okay, thanks.
Operator: Thank you. Our next question comes from Gena Wang of Jefferies. Your line is open.
Gena Wang: Thank you for taking my questions. So I know you mentioned that you won’t give the specific numbers – patient’s numbers from each country. But just wondering could you provide total number of patients currently on drug. I know last time you provided was 206. Now wonder if this number has increased since last time.
Mark Rothera: So thank you for the question. We did mention in the previous call that we're moving away from providing specific patient numbers, but to move towards revenue guidance was our first time, so that's where we are today. But clearly the growth that you have seen quarter-on-quarter is driven primarily by patient growth. That’s the main driver. And I mentioned that’s partly due to new geography and partly to increase penetration of countries where we're already present. And Brazil is being a tremendous collaboration between PTC and the Ministry of Health, where there's a common goal really to look after the need of patients with very high unmet need at this nature.
Gena Wang: Thank you. And maybe just one follow-up question regarding cystic fibrosis label extension. Could you remind us where – at which stage of in a process are you at right now?
Shane Kovacs: So, yes, we're with the cystic fibrosis. As you may recall we have an ongoing cystic fibrosis trial that will be – the results will come out in early 2017. We also filed a variation and we're in the middle of that now. We anticipate that that will be completed mid-year this year – mid-year of this year. And so we're in the midst of that process now.
Gena Wang: Sorry, maybe I did not make it clear, just wondering have you submit – which stage are you at, have you submit response to EMA or which stage are you at? Just wanted to have a little bit more clarity.
Shane Kovacs: Yes. So the process is one and where – with the process one and where you have questions that they’re asking you respond to those questions, we've had – we've done that, we’re anticipating that as there might be another round of question. So we’re middle of those process, we’re waiting for response on that. And then – so that’s where we’re right now. We anticipate that process then would conclude mid-year some time.
Gena Wang: Okay, thank you.
Operator: Thank you. I'm not showing any further questions in queue at this time. I’d like to turn the call back over to management for any further remarks.
Stuart Peltz: Yes. Well, thank you, thank you for joining the call today. All of us in the rare disease community are we are working hard to develop treatments for patients who are without options today. When you're trying to get a new drug to the market in an uncharted therapeutic area, it's not surprising to encounter development and regulatory challenges. The way you should see this is to persevere. We continue to make progress and we’ll remain firmly committed to bring Translarna to the patients globally. Thank you for joining us today.
Operator: Ladies and gentlemen, thank you participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.